Operator: Good morning, and thank you for joining us today for QCR Holdings, Inc.'s Fourth Quarter and Full Year 2025 Earnings Conference Call. Following the close of the market yesterday, the company issued its earnings press release. If anyone joining us today has not yet received a copy, it is available on the company's website, www.qcrh.com. With us today from management are Todd Gipple, President and CEO; and Nick Anderson, CFO. Management will provide a summary of the financial results, and then we will open the call to questions from analysts. Before we begin, I would like to remind everyone that some of the information management will be providing today falls under the guidelines of forward-looking statements as defined by the Securities and Exchange Commission. As part of these guidelines, any statements made during this call concerning the company's hopes, beliefs, expectations and predictions of the future are forward-looking statements, and actual results could differ materially from those projected. Additional information on these factors is included in the company's SEC filings, which are available on the company's website. Additionally, management may refer to non-GAAP measures, which are intended to supplement but not substitute for the most directly comparable GAAP measures. The press release available on the website contains the financial and other quantitative information to be discussed today as well as the reconciliation of the GAAP and non-GAAP measures. As a reminder, this conference call is being recorded and will be available for replay through February 4, 2026, starting this afternoon, approximately 1 hour after the completion of this call. And will be accessible on the company's website. At this time, I will turn the call over to Mr. Todd Gipple at QCR Holdings. You may begin.
Todd Gipple: Good morning, everyone. Thank you for joining us today. I'd like to start with an overview of our fourth quarter and full year 2025 performance, followed by some additional color on our business. Nick will then walk us through the financial results in more detail. We delivered our strongest quarter of the year in the fourth quarter and produced record full year results. Performance was strong across all key operating metrics, approaching or exceeding the upper end of our guidance ranges for net interest margin expansion, gross loan growth and capital markets revenue. I am very proud of our 1,000 teammates for their hard work, providing exceptional service to our clients, growing all parts of our business by creating new client relationships, taking exceptional care of the communities in which we live and work and generating superior returns for our shareholders. Their work not only produced record earnings in 2025, but also sets the foundation for continued momentum in 2026. Our exceptional earnings were driven by significant contributions from net interest margin expansion and robust loan and deposit growth, which drove a substantial increase in net interest income, along with continued strong capital markets revenue. In addition, our wealth management business remains a key strategic growth engine, providing a meaningful contribution to our record results. As I have mentioned previously, I view our company as operating through 3 primary lines of business: traditional banking, wealth management and our LIHTC lending platform. Each of these businesses produced outstanding results for the quarter and the year. We continue to deliver strong organic growth and drive enhanced profitability in our traditional banking operations. Our unique multi-charter model anchored by autonomous community banks that attract outstanding talent and high-value clients enables us to consistently outperform competitors and take market share. We continue to grow market share last year as we added significant new clients in all parts of our traditional banking business. Our markets remain very healthy, supported by solid growth, stable economic conditions and very strong commercial and industrial activity. Our digital transformation is also progressing as planned with the successful completion of the first of 4 core system conversions in October. These upgrades are already delivering meaningful benefits for both our clients and our employees. Looking ahead, 2 additional conversions are planned for April and October of this year, further improving and modernizing our technology stack. These investments will expand our service capabilities, enhance the overall client experience, drive productivity gains and improve our operating leverage. Our Wealth Management business continues to be a significant component of our earnings growth. In 2025, we added nearly 500 new client relationships, bringing in over $1 billion in new assets under management. Our strong capabilities in this business have created 5-year compound annual growth rates of 10% for both assets under management and revenue. This success reflects the expertise of our team and the strength of our relationship-based model, which connects our traditional banking clients with dedicated wealth advisers across our markets. As we expand our wealth management business in Central Iowa and Southwest Missouri, we are building momentum, deepening client engagement and taking market share from our larger competitors. Our LIHTC lending business also delivered exceptional performance in the second half of the year, reflecting the sustained demand for affordable housing and the expertise of our talented team. Developers continue to successfully advance their projects despite earlier headwinds, underscoring the resilience of the affordable housing industry. In addition to robust demand for affordable housing, recent legislative actions have expanded available tax credits and further strengthened the outlook for the federal LIHTC program. These enhancements, which continue to receive bipartisan support, represent a significant milestone in the program's 39-year history. Our deepening relationships with leading LIHTC developers across the country, combined with healthy market appetite, position us to further grow this business and deliver meaningful and consistent contributions to our overall financial performance. Having operated in the LIHTC business for nearly a decade, we continue to view this platform as a highly durable, profitable and differentiated growth engine for the company. Our success is anchored in deep relationships with developers nationwide. And in 2025, we added 18 new developer partners to our network. Our relationships with some of the top affordable housing developers in the country position us for continued strong and sustained production. While we continue to punch above our weight class in this business, industry data suggests that our current level of production represents only a small fraction of the total LIHTC market. This highlights the substantial growth opportunity ahead and potential to further scale our platform. Building on our momentum and the depth of our pipeline, we are raising the upper end of our capital markets revenue guidance, resulting in a range of $55 million to $70 million over the next 4 quarters. We also made significant progress on our strategic objective of improving balance sheet efficiency within our LIHTC lending business, particularly during the 2- to 3-year construction phase, which is typical for many LIHTC projects. In the fourth quarter, we successfully sold $285 million of LIHTC construction loans at par to a third-party investor. This strategy expands our capacity for additional permanent LIHTC lending and further enhances our opportunities for additional capital markets revenue. It also strengthens our regulatory capital position by reducing risk-weighted assets, providing greater flexibility to allocate capital more effectively. Having the capability to sell these LIHTC construction loans will allow us to generate capital markets revenue more efficiently with less capital, improving our operating leverage and our financial results. In addition, we used the proceeds from this transaction to retire our highest cost FHLB term advances, further lowering our overall funding costs. Because we are originating new LIHTC loans at such a strong pace, our new loans added during the quarter essentially offset the impact of the construction loan sale, minimizing the impact to NII. In the future, we plan to strategically execute additional LIHTC construction loan sales and securitizations. While the timing will depend on market conditions and other factors, the strong growth in our LIHTC platform is expected to mute the impact of these transactions on net interest income and support opportunities to further grow our capital markets revenue. In addition, LIHTC securitizations and construction loan sales will allow us to cross the $10 billion asset threshold more efficiently and effectively. We began proactively incorporating the costs associated with operating at the $10 billion level into our noninterest expense run rate several years ago. We also recently secured increases in our future interchange revenue and lower debit card processing costs through our digital transformation initiatives and new third-party contracts. As a result, we are well positioned to control the timing of surpassing the $10 billion asset mark with limited financial impact. 2025 was a record-setting year for our company, marked by exceptional growth across all core businesses. We are focused on continuing to deliver top quartile financial results, and we hold ourselves accountable for creating long-term sustainable growth in earnings per share and tangible book value per share. Our team has built a foundation for sustained momentum, supported by investments in talent and technology that enhance our competitive advantage. In our investor presentation released yesterday alongside our Q4 earnings, we showcased several slides that underscore our exceptional long-term performance. One highlight is on Page 5 of the investor presentation, which evaluates the performance of all publicly traded banks with assets between $1 billion and $20 billion. Out of 216 banks, QCRH is 1 of only 7 that achieved a 5-year average ROAA above 130 basis points, a 10-year TBV CAGR exceeding 10% and a 10-year EPS CAGR greater than 15%. Our exceptional performance in all 3 metrics resulted in a 10-year total shareholder return of more than 250%, far exceeding the TSR for our high-performing peer group. Our ability to generate top quartile EPS and TBV per share growth is a result of our unique business model and the strength of our team. We truly have the best bankers in each of our markets, backed up by a shared services team that allows them to focus on providing raving fan service to our clients. As we begin this year, we are focused on advancing our digital transformation to deliver optimized technology to our clients and our team, further expanding our wealth management business and continuing to grow our LIHTC lending platform. Combined with a positive NIM outlook, expanding operating leverage, solid loan and deposit pipelines and a stable credit outlook. The initiatives position us to deliver superior financial performance and create continued strong returns for our shareholders. I will now turn the call over to Nick to provide further details regarding our fourth quarter and full year 2025 results.
Nick Anderson: Thank you, Todd, and good morning, everyone. We delivered record adjusted net income of $37 million or $2.21 per diluted share for the quarter and record full year adjusted net income of $130 million or $7.64 per diluted share. These exceptional results were driven by significant growth in net interest income from increased average earning assets and net interest margin expansion. In addition, we had solid wealth management revenue growth, strong capital markets revenue and improved asset quality. Net interest income increased $4 million or 22% annualized in Q4 and $23 million or 10% for the year, driven by continued margin expansion. The LIHTC construction loan sale late in Q4 did not materially impact net interest income. On a tax equivalent yield basis, NIM increased 6 basis points from the third quarter, near the upper end of our guidance range. This expansion was supported by a 14% increase in average earning assets, a significant improvement in our cost of funds and a favorable mix shift to noninterest-bearing deposits. Our disciplined approach to deposit pricing, combined with a liability-sensitive balance sheet has driven cost of funds betas that are more than double those of our earning assets in the current rate cutting cycle. Since the Fed began cutting rates in 2024, our deposit costs have declined by 56 basis points compared to a 32 basis point decline in loan yields. We continue to experience the repricing of lower-yielding loans into higher market rates as new loan yields added during the quarter exceeded loan payoff yields by nearly 30 basis points. As we move further into the rate cutting cycle, however, we expect that positive arbitrage to moderate. We still remain positioned to benefit from future rate reductions with rate-sensitive liabilities exceeding rate-sensitive assets by approximately $700 million, providing meaningful upside to margin in a declining rate environment. For future cuts in the Fed funds rate, we expect 1 to 2 basis points of NIM accretion for every 25 basis point cut in rates. If the yield curve steepens, we'd expect NIM expansion at the top end of that range. And if the yield curve remains relatively flat, we would expect NIM expansion at the lower end of the range. Our NIM to EY has expanded 32 basis points over the past 7 quarters, reflecting disciplined execution and favorable balance sheet positioning. We expect this momentum to continue and are guiding to additional core margin expansion in the first quarter between 3 to 7 basis points, assuming no further federal rate cuts. Further upside in our first quarter NIM is supported by repricing opportunities on approximately $140 million in fixed rate loans currently yielding 5.55%, which are expected to reset nearly 50 basis points higher. We also anticipate continued CD repricing during the first quarter with approximately $390 million of maturities, currently costing 3.94%, which we expect to retain and reprice nearly 50 basis points lower. We also expect investment yields to continue to expand, supported by a solid pipeline of new municipal bonds priced in the high 6% range on a tax equivalent basis. In addition, the retirement of the FHLB term debt is expected to contribute nearly 2 basis points of incremental margin improvement. Noninterest income totaled $39 million for the fourth quarter, driven primarily by $25 million in capital markets revenue. Despite the slower first half of the year, capital markets revenue reached $65 million in 2025, surpassing the upper end of the $50 million to $60 million annual guidance range we established to start the year. Our Wealth Management business delivered $5 million in revenue for the fourth quarter, a 4% increase compared to the prior quarter. For the full year, wealth management revenue grew $2 million or 11%, underscoring the strength of this business. Continued growth in assets under management across our markets not only enhances our platform, but also provides stability and diversification in our revenue mix. Now turning to our expenses. Core noninterest expenses increased $4 million in the fourth quarter when excluding the $2 million nonrecurring prepayment fee associated with retiring higher cost FHLB term funding. The linked quarter increase was primarily due to elevated variable compensation resulting from strong capital markets performance and record earnings. Higher professional and data processing expenses related to our first core system conversion as part of our digital transformation also contributed to this increase. Our variable compensation structure is designed to maximize operating leverage and provide expense flexibility across changing revenue cycles, aligning employee incentives with shareholder returns. Despite the increase in noninterest expenses, our adjusted core efficiency ratio came in at 56.8%. We continue to prudently manage expenses while investing in talent and technology to support our operations team with initiatives that enhance future operating leverage to strengthen the scalability of our multi-charter community banking model. Even with continued investments in our business during 2025, we maintained strong discipline over core noninterest expenses, which were up only 4% for the year, in line with our strategic goal to hold noninterest expense growth below 5%. Looking ahead, we expect noninterest expenses to be in the range of $55 million to $58 million for the first quarter of 2026, assuming capital markets revenue and loan growth are within our guided ranges. This outlook reflects our continued commitment to disciplined expense management aligned with our 965 strategic model, which targets noninterest expense growth below 5%, while driving operating leverage and strong profitability. Looking ahead, our continued investments in technology, combined with the flexibility of our variable compensation structure will enhance scalability and efficiency, positioning us to deliver sustained operating leverage as we grow. Moving to our balance sheet. During the quarter, total loans grew by $304 million or 17% annualized before the impact of the construction loan sale and the planned runoff of the M2 portfolio. Our traditional loan portfolio demonstrated strong growth, increasing $92 million or 8% annualized in the fourth quarter and $185 million or 4% for the year when excluding the runoff of the m2 portfolio. Looking forward to 2026, we have a solid pipeline and expect to sustain this momentum as we are guiding to gross annualized growth in a range of 8% to 10% for the first quarter. with growth ramping up to a range of 10% to 15% for the remainder of the year. Complementing our loan growth, total core deposits grew $64 million or 4% annualized in the fourth quarter. Average deposit balances rose by $237 million or 13% annualized when compared to the third quarter. For the full year, core deposits increased by $474 million or 7%. Our deposit mix improved for the full year with an increase in noninterest-bearing balances and a 34% reduction in higher cost broker deposits, further strengthening our funding profile. Strong deposit growth across our markets highlights the success of our relationship-driven approach and validates our efforts to expand our deposit market share while providing a stable core funding base for future growth. Asset quality remains excellent. Net charge-offs were static compared to the third quarter, while provision for credit losses increased by $1 million. Total criticized loans continued to improve, decreasing $5 million in the quarter and $20 million for the full year, reflecting a 12% reduction. Total criticized loans, a key leading indicator of loan quality, are at their lowest level since June of 2022. As a percentage to total loans and leases, total criticized loans declined 7 basis points to 1.94% during the quarter, the lowest level in more than 5 years and remains well below the company's long-term historical average. Our total NPAs to total assets ratio remained constant at 0.45%, which is approximately half of our 20-year historical average. Our allowance for credit losses to total loans held for investment increased 2 basis points to 1.26%. While our asset quality remains very strong and our criticized loans continue to decline to record low levels, we increased our provision at year-end to bolster our already strong level of ACL. This is consistent with our long-standing credit culture of maintaining robust reserves even during times when credit quality is favorable. We executed additional share repurchases in the fourth quarter, repurchasing approximately 163,000 shares, returning $13 million of capital to shareholders. For the full year, we returned nearly $22 million to shareholders, repurchasing approximately 279,000 shares at roughly 1.3x our current tangible book value. Through last week, we repurchased approximately 32,000 additional shares, increasing total repurchases under the program to more than 310,000 shares since commencing in the third quarter of last year. Our tangible common equity to tangible assets ratio rose by 27 basis points to 10.24% at quarter end, driven by strong earnings and improved AOCI, partially offset by share repurchases. Our common equity Tier 1 ratio increased 18 basis points to 10.52% and our total risk-based capital ratio increased 16 basis points to 14.19% due to our strong earnings growth and the construction loan sale, partially offset by share repurchases. We delivered another quarter of exceptional growth in tangible book value per share, which rose $2.08 to approximately $58, reflecting 15% annualized growth for the quarter. Over the past 5 years, tangible book value has grown at a compound annual rate of 13%, highlighting our continued strong financial performance and long-term focus on creating shareholder value. Finally, our effective tax rate for the quarter was 8%, down from 10% in the prior quarter, reflecting lower pretax income and an increase in the mix of our tax-exempt income relative to our taxable income. Our tax-exempt loan and bond portfolios have continued to support a low effective tax rate. Assuming a revenue mix in line with our guidance ranges, we expect our effective tax rate to be in the range of 8% to 10% for the first quarter of 2026. With that added context on our fourth quarter and full year results, let's open the call for your questions. Operator, we are ready for our first question.
Operator: [Operator Instructions] Our first question today comes from Damon DelMonte from KBW.
Damon Del Monte: First question, just appreciate the guidance on the capital markets revenues, $55 million to $70 million over the next 4 quarters. Just curious, do you guys expect any seasonality kind of in the beginning part of the year? Just trying to kind of model out a cadence for expected revenues.
Todd Gipple: Damon, thanks for asking that question. We certainly did want to set expectations a bit for the first quarter. And this is a chance to remind everyone that our first quarter is historically our slowest quarter of the year for capital markets revenue. It's really not just us. The entire affordable housing industry gets off to a bit of a slow start each year. I really think developers push themselves and their teams to get things closed by 12/31, then maybe take a little breather for a month or so. So as a result, we expect our first quarter here in '26 to be far better than it was the first quarter of last year. But I do want to make sure we set expectations. We should not all expect another $20 million-plus quarter here. Our Q1 capital markets revenue has averaged $11 million in the past 5 years. We had last year $6 million in there. We've had a $13 million. We've even had a $16 million. But yes, Damon, I'm grateful you asked the question. Q1 is a bit slower start. It's one of the reasons we're so focused on providing rolling 12-month 4-quarter guidance. That's really how we evaluate our performance. That's how we evaluate the strength of our business. And yet we know the first quarter can be a bit seasonally slow.
Damon Del Monte: Got it. Great. Okay. That's helpful. And then in the past, you've talked about the securitization of moving some of the loans off the balance sheet. And I think last quarter, you kind of talked about midyear here in '26. Is that still on the table to be done? And if so, do you have a kind of an updated target size of loans to securitize and move off?
Todd Gipple: Yes, Damon, thanks for asking about that as well. We do continue to target sometime in the first half of this year. I expect us to have that perm loan securitization happen prior to June 30. We do that with Freddie Mac. And Freddie is not -- well, they're a GSE and not a full government agency, but they can sure act that way sometimes. So they're undergoing some changes in their securitization program for the M Series program we use. And what I mean by changes is they're making it harder and it's taking longer. But we still expect something in the $300 million to $350 million range prior to June 30.
Operator: Our next question comes from Nathan Race from Piper Sandler.
Nathan Race: Could you just help us with some guideposts in terms of a starting point for earning assets in the first quarter, just some of the -- just given the moving pieces with the securitization in 4Q and then just the expectation of pay down some wholesale borrowings as well?
Todd Gipple: Yes. So earning assets heading into the first quarter would be very consistent with where we ended earning assets. That construction offtake happened very late in the quarter, actually December 22. So that's why NII was really not impacted by that. So where we ended 12/31 in terms of earning assets is where we're going to begin. We talked about very robust loan growth plan for this year. We do feel like we're going to be 12%-ish for the full year, but that's going to be a little backloaded as well. That's why we're guiding to more like 8% to 10% gross loan growth in the first quarter. We think that will accelerate in the last 3 quarters of the year, closer to 12 15. We feel really good about loan pipelines, both traditional and LIHTC. So we'll be ramping earning assets up here throughout the quarter, but starting point would really be the 12/31 number.
Nathan Race: Okay. So not necessarily the average balance in the fourth quarter for earning assets, right?
Todd Gipple: Correct. Correct. Average balance is far greater because that loan sale happened 12/22.
Nathan Race: Understood. Okay. And then, Todd, can you just update us in terms of what inning you're in, in terms of having the cost and the expense run rate around the transformation and the investments you're making? And then just any thoughts in terms of how that translates in terms of the expense run rate over the second quarter and back half of this year relative to the guidance you provided for 1Q?
Todd Gipple: Yes. Nate, I think I'm going to let Nick talk a little bit about NIE run rates, and I might tag on a little bit about how we're thinking about $10 billion.
Nick Anderson: Looking ahead here, obviously, you saw we increased our guidance range for NIE, the $55 million to $58 million. Updated range continues to assume that we make further investments in the digital transformation. The approximate midpoint of the $55 million to $58 million range is just about 5% increase over our core NIE year-over-year. So what's making up some of that increase, I would kind of lay it out this way, about $4 million of digital transformation spend, another $4 million in salary benefit costs and a couple of million in occupancy related. So, despite the increase in the 26% range, we still expect to create more operating leverage and pushing that efficiency ratio lower as we see some expansion in our revenues that outpace our NIE here.
Todd Gipple: Yes. So Nate, I'm going to go ahead and tag in on this with the $10 billion thoughts. We ended the year right on top of $9.5 billion. We still expect to stay under $10 billion here at the end of '26. That will have a lot to do with the timing of some of our construction loan offtake later in the year. I don't know that we'll be as precise as doing that almost near the end of the year. But certainly, we're going to be very mindful of the impact on NII when we do term loan securitizations and construction loan sales. Many of you are familiar with our 965 strategy, and we want to grow NII close to that 9% for the full year. And because of a strong organic gross loan growth, we're going to be able to do both. But we certainly expect to come in just under $10 billion at the end of calendar '26. We will go above $10 billion in '27. And as a result, starting in July of '28, we're going to have the rigor of $10 billion and the Durbin impact. But we are layering in, in that 5% guide that Nick gave everyone, that is not just digital transformation, that is building for the infrastructure we need for $10 billion at the same time. So we're building it in. We don't expect there to be a blip in '28 as a result of going over. And that's really important to us. The 5% and 965, we are very diligent about making sure we don't have expense creep so we can continue to improve EPS and TPV per share. So sorry for the long answer to your short question, but thought we'd give a little bit of current color and a little bit of future.
Nathan Race: That's great and very helpful. Just a question in terms of kind of the deposit gathering expectations. Obviously, you have a pretty robust loan growth outlook out there for this year. Just curious kind of what you're seeing in terms of opportunities to continue the momentum on the deposit gathering front. And just as you look at kind of the balance sheet growth outlook for this year, if we just assume maybe a flat rate environment or a static rate environment, do you see kind of incremental balance sheet growth accretive to the margin? And just within that context, curious what kind of opportunities you're seeing to continue the deposit gathering efforts within the clients that you work with on the low-income housing tax credit side of things.
Todd Gipple: Sure, Nate. Thanks. Great question. I'll talk a little bit about how we're looking at deposit growth, and Nick can give you a little bit more of the margin and NII implication after that. But the one thing that all 1,000 of our teammates universally understand is we have to continue to improve the right side of our balance sheet, both core deposit growth and improving our mix. So everyone is focused on that. And there's really 3 underlying strategies. We continue to lean in hard to net new retail checking accounts. That doesn't move the needle in dollars. But over 10 and 20 and 30 years, that is incredibly meaningful in terms of the stability of our funding costs. So we are very focused on growing net new retail checking accounts and it only counts in our scorecard if we get their direct deposit and really become their bank. We're really leaning hard into private banking, that top 10% to 15% of retail in each of our markets. It's a big part of our Quad City and Cedar Rapids and Southwest Missouri markets. I'm proud of our leadership in Central Iowa. They've added some really great talent in private banking in Central Iowa, which happens to be our largest MSA. So that's going to help us with core deposits and wealth management pipeline. And then where we can move the needle more significantly each year is treasury management. We have a great technology platform. We have great people. We are just being more precise and intentional on non-borrowing targets. Typically, bankers tend to focus on lending, and we're getting them all focused on gathering deposits. We've got to get NIB back up. That's going to take a while, but we're really focused on the right side of the balance sheet. And I would just end before I turn it over to Nick, we expect our growth to be funded with core deposits, not wholesale. And we've worked that down a fair amount during the year. So that's our continued focus. Nick, maybe talk about -- and both NIM and NII.
Nick Anderson: Yes. So Nate, I'll probably reference a little bit our success in '25 in moving the deposit mix shift. We did have some success in reducing brokerage. We lowered that by $120 million. That's just 3% of our total deposits today, and that's helping reduce some of our cost of deposits. As Todd said, NIB continues to be an area where we need to move the needle further faster. We did increase that $24 million. They're about 13% of our total deposits. So when I look at the growth for '25, and this kind of leads into maybe how you can think about the growth in '26, about half our growth came from the correspondent network. so about $238 million. That's more priced probably at the market, if you will. There are some noninterest-bearing deposits inside of that business that do help. We also saw the other half of the growth then really came from a couple of hundred million in commercial and $32 million in retail. So I would highlight there our success in really continuing to drive into our markets, getting those operating accounts on the commercial side over time, that should continue helping our noninterest-bearing deposits. So I think the short answer is a lot of our success in '25 is similar to how we move into '26 and think about the growth there.
Nathan Race: Okay. Got it. If I could just sneak one more in along those lines. Obviously, a notable M&A announcement involving a long-time Iowa competitor recently. So just curious if there's any kind of early indications on opportunities for share gains, particularly on the deposit gathering front in light of that announcement and potential disruption.
Todd Gipple: Sure. yes, Nate, we are already on top of the MOFG sale. It is really adjacent to the Cedar Rapids market. We have great leadership in that market, very focused on taking clients and taking market share. We don't have to be located in that market to do so. And we already have a target list and are working it pretty effectively. We expect to take some of the best clients out of that platform. [ Nikolai ] is an incredibly good performer, but we're pretty certain that some of the folks in Iowa City, Iowa are not going to be all that thrilled that all the decisions are made out of state, and they're certainly going to lose some talent. So we view it as an opportunity. Again, our entire company was founded on the backs of not very good M&A in the Quad Cities and Cedar Rapids. So we know how to take advantage of that, and we certainly expect to.
Operator: Our next question comes from Daniel Tamayo from Raymond James.
Daniel Tamayo: Maybe starting on the LIHTC business. So you gave the updated guidance increase from last year's guidance. It would be kind of flat to down a bit if we took the midpoint from -- on a year-over-year basis. And then that would be kind of a, I guess, 2- or 3-year trend of just a little bit down on the revenue side. Obviously, longer term, it's up. It seems like there's great opportunities there. You've been growing it a ton. Just curious kind of long term, how you think about growth opportunities within the LIHTC business. Are there bankers that you would need to add to do that? Are your current bankers at capacity or near capacity? You talked about the developer relationship opportunities. But I'm just curious kind of as we take a step back on this LIHTC business, which continues to be more important for your business overall, kind of what the growth opportunities might look like on a longer-term basis?
Todd Gipple: Thanks for the great question, Danny. We are very excited about the future of this business. If anything, I would just ask everyone to focus less on the top end number of our range and more on the direction that we here in the last 2 quarters have moved it up a couple of times. We understand that might look a little light considering the back half of this year. candidly, I'm okay with that if maybe the biggest concern folks might have is we're being a little conservative with our guidance. I think what it has to do with Danny, is we have worked really hard on this business this year. And while we've all worked hard on making this a better business, our LIHTC team is incredibly talented, and I don't know that they've ever worked harder. And so we're just trying to be realistic about the fact that we need to operate in this space a little bit with the new construction offtake that we have, make sure we're fully prepared and ready to grow that business. But certainly, we expect to be able to take the new developer relationships, the new third-party relationships on construction offtake and continued strong performance by this team and further grow the business. So we do have expectations for further growth. I think I'd just say let's operate in this environment a little bit, let's prove the numbers up. We want to maintain our [indiscernible] ratio here. That's always been important to us. So we think the future is quite bright.
Daniel Tamayo: Understood. I appreciate that. I guess from an efficiency perspective, you talked about the expectation for positive operating leverage in the business and certainly contributing to the overall franchise. How should we think about that 5% kind of expense target that you've had for a long time. What does that contemplate from a LIHTC growth perspective? Is that kind of the range of fee income growth that you've provided, so somewhere around the midpoint and then you would perhaps be above 5% if the LIHTC revenue got better? And then sorry for a long question here, but wrapping that into a profitability discussion, how do you think you -- how much further do you think you can take this thing? I mean you're over 1.50% ROA last couple of quarters. Does that -- do you think that can continue to move higher?
Todd Gipple: Danny, first, I'll just say your assessment of the guide on NIE is very accurate that when Nick is providing that guide, we're assuming we're kind of down the middle in terms of guidance on loan growth, on capital markets revenue, on performance. So you've got that nailed. We're quite proud of the back half of this year and finishing with core ROA at 150. But we expect to continue to grow earnings per share and tangible book value per share at a better than average clip and stay in the double digits there. And so for us to do that, we have to continue to move up ROAA, and it's pretty frothy already at 150%. But the way we get there, Danny, is -- and so I'm really glad you asked the long question because I think it's important to me that people understand we are not going to achieve greater ROA simply by further growing the LIHTC business. that will help, and we expect that to happen, and we expect that to add tremendously to profitability. But at the same time, we have to improve the ROAA performance of our traditional banking space, and we have to get continued 10% growth in wealth management. We do not want to grow earnings solely on the back of our LIHTC business. It's really important to us. Our team is really good at it. We expect it to grow. It's a tremendous ROA and EPS engine, but we're not just focused on that. We have to get traditional banking to improve and wealth management to continue to grow at 10%. So we want all 3 to grow ROAA in the future, and we expect that to happen. So on the traditional side, really 2 things, improving the right side of the balance sheet and how we fund. As we get better at that, that will help earnings. And then the operating leverage we're going to get from digital transformation and some other things. We expect that in really starting in '27, more fully in '28. So those 2 things will help traditional. So Danny, I answered your long question, a long answer, but I wanted to take everyone down that path that while we expect great things out of the future of our LIHTC business, we really need all 3 segments to continue to improve performance.
Daniel Tamayo: Understood. That's helpful, Todd. And then maybe just a cleanup one, although also a little longer term in nature, but for you, Nick, just on the effective tax rate. Obviously, the tax-exempt portion of the balance sheet has been growing as you indicated. I mean, should we expect the effective tax rate to continue to trend downward in coming years or quarters and years as that business continues to be a bigger part?
Nick Anderson: Yes. Danny, when we look at our effective tax rate, obviously, very high performing, very low effective tax rate there. We did -- I think full year, we landed around 6.5%, and that was compared to 7% in '24. And both those years had some pretty decent performance, both of those years were record years. To your point, though, the percentage of our tax-exempt business on our balance sheet that drives our income statement, it's about 30%. So when it hits the income statement. So that's -- I think that's probably pretty consistent of where we're expecting that to head. We did give guidance for the next quarter, 8% to 10%, but I think that makes sense given some of the lighter activity we're expecting here in Q1. So I think, hopefully, that helps to answer your thoughts there. Can that continue to trend lower over time? I guess my short answer is it depends a little bit on the makeup of our balance sheet. But we continue to off balance sheet some of our LIHTC business, so that's going to moderate. And I think kind of the level we're at and have been at here more recently is what you should assume.
Operator: Our next question comes from Brian Martin from Janney.
Brian Martin: Nick, maybe I just missed the end of that on the tax rate. But just the tax rate over the balance of the year, just -- do you expect it to change materially off the first quarter level? Or I guess, did you suggest otherwise? Maybe I just didn't catch that.
Nick Anderson: Yes. I think it will continue to be pretty static. So I think your 8% to 10% or the 8% to 10% we guided to, I think that's a fair assumption to use for the '26 model.
Operator: Got you. Okay. That's helpful. And just one other housekeeping on the earning asset number. What was the end-of-period earning asset number versus the average? How much lower was the end of period than the average? Do you have that?
Todd Gipple: Nick has that, and he is pulling that up right now, Brian.
Nick Anderson: Yes. No worries, Brian. It really was right on top, slightly under where we ended the average. So average was like $8.872 billion. So it's, call it, $20 million, $30 million below that.
Brian Martin: Below it. Okay. Got you. I just want to make sure that. And then, Todd, your comments about just getting better elsewhere. I mean, do you see an opportunity on -- I mean, it sounds like there's an opportunity on the funding side, certainly with the DDA at around 13%. I mean, do you expect to be able to -- do you see an opportunity to move that up? Or is that -- I guess, do you have targets kind of on where that may trend over time? And then just kind of how you're thinking about the loan-to-deposit ratio here?
Todd Gipple: Sure. yes, Brian, we know we have to improve the right side of our balance sheet for us to continue to improve the performance of our traditional banking space. So we're right now at about 13% NIB. We've been in the 20s. And we know that the rapid increase in rates previously changed the behavior of virtually every deposit client in the country, and they became rate sensitive after spending well over 10 years being non-rate sensitive. And so that has impacted our NIB. We have to have a clear path to improving that, and I do expect it to improve. I would certainly expect us over time to move that up to be more peer like, something in the high teens and maybe even 20%. That is not going to happen in a couple of quarters. Candidly, that's not going to happen in a couple of years. That's just going to take a lot of hard work over a long period of time. We're going to have to see some of our clients become less rate sensitive and allow us to have higher PE balances of noninterest-bearing because of our relationship. And we think over time, we'll have some success with that. But that is not going to happen quickly. It's going to take a lot of work. And the other thing is, over time, we want to be better funded with core deposits and be able to lower our loan-to-deposit ratio. It will never get I don't anticipate it's ever going to get below 90%, but we'd like to operate more in the low 90s than the high 90s. And I think over time, we'll get there. But again, our big focus on the traditional banking space is 2 main things, and that is our funding mix and our operating leverage. And we have plans to improve both.
Brian Martin: Got you. And that operating leverage, Todd, I mean, in terms of getting that lower, I mean, you're targeting kind of getting to the low 50s from where you're at today, that's kind of where the trend line is moving toward or the hockey puck moving to?
Todd Gipple: Exactly, Brian. That is not going to happen here for a couple of years while we're investing in the bank of the future and still paying for the bank of the past or current. We're going to stay within that 5% growth on expenses and have that discipline, but it's really going to start more in '28 and beyond where we think that efficiency ratio can drop from the mid-50s to the low 50s.
Brian Martin: Got you. No, that's helpful, and it makes sense. Maybe just last 1 or 2 for me. Just on the loan guide or just kind of the loan outlook. In terms of -- it sounds like there's obviously a securitization and maybe potentially later in the year, a couple more of these construction offtakes. Just when we think about the loan growth of the guide, I mean, is this a number that's net of kind of all the activity that you're anticipating here in terms of the sales and the securitizations? Or how do we think about the net loan growth kind of as you go through with all the actions you expect here over the next couple of quarters?
Todd Gipple: Yes. Brian, that's a fair question. It's kind of a difficult answer simply because the exact timing of some of this offtake is not real precise just yet, and that's not because it's uncertain. That's because it's going to depend on how fast our loan growth is and when we think the right time is to sell some of that off. We're blessed to have a tremendous partner in the construction aspect of this business, and they are very anxious to have more of our construction loans, and we're anxious to do that with them. But -- so I apologize that's a little choppy. So what we can talk about is our gross loan growth. We think that's going to be very strong. What I'm really thrilled about is last quarter was the best quarter of the year in terms of loan growth. And while 70% of that was LIHTC, traditional bank was 30%, and that's the best traditional bank growth we've had in a long time, and our pipelines on traditional bank growth are very strong. What I will tell you is because I know what you really need to do, Brian, is figure out the impact on NII. And I know that's why some more precision would help. What I will tell you is we are very focused on doing all this with the balance sheet, but also growing NII. And we are going to target that 9% and 9.65%. So the offtake will mute loan growth year-over-year. But during the year, we expect it to help produce NII growth.
Brian Martin: Got you. That's understood. That's super helpful, Todd. I guess you know what we're trying to get to. So -- and just the last one for me was just on the capital management and just the buyback. You talked about M&A not being an issue or not being really a factor. It certainly sounds like that continues to be the case. But in terms of the buyback, how do you think about -- is this opportunistic here? Or I guess, is it ongoing? -- you plan to be in the market kind of regularly? Or just how are we thinking about the repurchases?
Todd Gipple: Yes. Brian, thanks for asking about that. We hadn't really talked about the buybacks. And I would beat your word, opportunistic. That's how we've always felt about it. At current valuations, even today's, buybacks are an attractive use of capital for us. We know it benefits our shareholders. There's no real algebraic formula on when, how much, what price. It's certainly more of an art than a science. But we would intend to be opportunistic. And when we think about buying shares back, we tend to think forward about where TBV and EPS are headed. So sometimes we get a little more confident about buying shares at these valuations, knowing where EPS and TBV are headed in the future. So a good example of that. We spent $25 million so far under the current authorization. That's 312,000 shares. And what's lovely about that is that was at a weighted average price of $78. So we feel really, really good about having done that for our shareholders. And we'll remain opportunistic and try to do that when it makes sense.
Operator: Our next question comes from Jeff Rulis from D.A. Davidson.
Ryan Payne: This is Ryan Payne on for Jeff Rulis. Just one for me here. Revisiting the loan growth and LIHTC side, what kind of competition are you seeing in LIHTC and maybe the reasons it feels isolated? And then anything you're seeing on loan competition in general?
Todd Gipple: Sure. Yes. Thanks for the question. What I would tell you is in terms of competition in the LIHTC space, -- we talked a little bit about this in our scripted comments, but what makes us really encouraged about the future growth of LIHTC is we have really -- our team is tremendous. And we hear that from our developer clients directly about how much they appreciate our team. And we've grown this business pretty nicely. But based on industry data that we can get, we only have around 2% of the market. And that obviously makes us very encouraged about potential for future growth. So in terms of headwinds and competition in that space, -- the candid about it, the only time we really end up losing deals is when the equity provider to that developer also has either an in-house perm loan or a relationship with someone on the perm side because developers, first and foremost, need equity. And so equity sometimes will drive the selection. Not to be cavalier about it, but that's about the only time we lose transactions is if an equity player comes in and says, I'm only going to give you the equity if you do the perm with us. So to combat that, we are working with equity providers that are perm loan agnostic, where they would love to partner with us because they know developers like our program. So we are working really hard to further our relationships with equity providers that can be partners with us on the firm. So that's why the future growth of LIHTC, we're optimistic about it. In terms of local competition for traditional banking, in several of our markets, there is not a transaction that happens in the market without us knowing about it. And candidly, maybe all 4 markets. We tend to be at the table for most anything of substance in our 4 markets. It's because of our structure and our great team. So sometimes what we're deciding is are we willing to do it at a certain price. And so pricing is tough right now. We're doing a great job. Our bankers are doing tremendous work, maintaining relationships and getting paid as well as we can. But typically, the competition for deals is going to be more about pricing and whether we can make it or not.
Operator: And ladies and gentlemen, with that, we'll be concluding today's question-and-answer session. I'd like to turn the floor back over to Todd Gipple for any closing remarks.
Todd Gipple: Thank you for joining our call, everyone. We very much appreciate your interest in our company. Have a great day, and we look forward to connecting with you soon. Thank you.
Operator: And with that, ladies and gentlemen, we'll conclude today's conference call and presentation. We do thank you for joining. You may now disconnect your lines.